:
Presentation:  
(Prepared remarks provided to Seeking Alpha by the company.):  
Operator:   Hello, ladies and gentlemen. Thank you for standing by for Huami Corporation First Quarter 2019 Earnings Conference Call. At this time, all participants are in listen-only mode. Today’s conference call is being recorded. I will now turn the call over to your host, Ms. Grace Zhang, Director of Investor Relations for Huami Corporation. Please go ahead, Grace.
Grace Zhang: Hello, everyone, and welcome to Huami Corporation first quarter 2019 earnings conference call. The company's financial and operating results were issued in our press release via newswire services earlier today and are posted online. You can also view the earnings press release and the slides to which we will refer on this call by visiting the IR section of the company's website at www.huami.com/investor. Participating in today's call are Mr. Huang Wang, our Chairman of the Board of Directors and Chief Executive Officer; and Mr. David Cui, our Chief Financial Officer. The company's management will begin with prepared remarks, and the call will conclude with a Q&A session. Mr. Mike Yeung, our Chief Operating Officer, will join us for the Q&A session. Before we continue, please note that today's discussion will contain forward-looking statements made under the safe harbor provision of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the company's actual results may be materially different from the views expressed today. Further information regarding these and other risks and uncertainties is included in the company's annual report on Form 20-F for the fiscal year ended December 31, 2018, and other filings as filed with the U.S. Securities and Exchange Commission. The company does not assume any obligation to update any forward-looking statements except as required under applicable law. Please also note that Huami's earnings press release and this conference call include discussions of unaudited GAAP financial information as well as unaudited non-GAAP financial measures. Huami's press release contains a reconciliation of the unaudited non-GAAP measures to the unaudited most directly comparable GAAP measures. I'll now turn the call over to our CEO, Mr. Huang Wang. Please go ahead.
Huang Wang: Hello, everyone. Thank you for joining our earnings conference call today. After a successful 2018, strong revenue momentum and sustained profitability continued in the first quarter, reflecting the increasing leverage of our rising global brand recognition, strategic relationships and customer trust. We are pleased to report another strong quarter with top line result of RMB799.6 million, which represents a 36.5% increase compared to the Q1 2018. We are delighted to share that during the first quarter of 2019, our Amazfit smartwatch product shipments ranked fifth globally. According to a recent report published by Counterpoint Research, a well-respected global industry analysis firm, during this quarter, total shipments of Amazfit smartwatch products grew 71.3% compared to Q1 2018. It's very clear our leadership in this segment is strengthening. We believe this growth momentum is sustainable and has improvement potential as we plan to launch multiple Amazfit watch products soon this year covering different price ranges and with stand-alone communication functions, just which we just co-announced with Qualcomm Technologies this morning as well as improved health care and sports features. Speaking of Amazfit, our products are designed and manufactured to address the middle to high-end market and continue to experience strong growth. In Q1, our self-branded products and others contributed 41.3% of our total revenues. With enhancements and expansion of our sales distribution channels, sales force strategies and brand recognition, international shipments continued to climb. In January, we announced a strategic collaboration with McLaren Applied Technologies to develop co-branded wearable smart products that will provide users with a comprehensive view of their biometric and activity data. In the meantime, our team is diligently working closely with Timex Group to develop products through the partnership we established late last year. Our COO, Mike, and I recently had a meeting with Timex CEO and his management team in their headquarters in Middlebury, Connecticut. We addressed the R&D details of our first joint effort products nearing completion and the deep collaboration of Timex full product line. In addition, we also discussed the full product line’s US marketing strategy and the working schedule, as well as explored how Timex's strong off-line channels can help strengthen our Amazfit brand in emerging markets, such as India. We have full confidence in our collaboration efforts with the Timex Group and are excited to be moving forward with them on multiple fronts. In the first quarter, we also broadened our IoT life scenarios. All NFC versions of Huami products now have public transportation connectivity capabilities in over 200 cities in China. Furthermore, Amazfit products are now upgraded with full Amazon Alexa integration, allowing users all the normal functionality of the voice assistant. With our achievements in the first quarter, we are excited to continue developing and introducing new products and services, expanding our presence in global markets and further developing our strategic partnership initiatives. Last but certainly not least, our relationship with Xiaomi remains strong and stable, and we look forward to launching the Mi Band 4 in two weeks. Based on the market data we gathered, we are very confident about this upcoming launch to capitalize on this product's popularity. We already have millions of new Mi Band 4s ready to ship on the official launch date. Our long-term plans with Xiaomi and the popular Mi Band series include producing future generations of the current band product line, such as Mi Band 5, as well as various other models targeting different market segments in both high end and the low end band market globally. At the same time, our Amazfit products are riding the wave of the rapidly rising global smartwatch market. In the next few months, we will launch more than 10 models of Amazfit watches covering different market demands and with prices ranging from RMB299 to RMB2000. Our long-term strategy is clear and with conviction. We look forward to the rest of 2019 with full confidence. And we believe we will deliver long-term value to our stakeholders. Thank you again for joining today. I will now turn the call over to our CFO, David Cui.
David Cui: Thank you, Wang. The company continued its growth momentum with strong year-over-year revenue growth, represented by a 36.5% increase over Q1 2018. Our growth was mainly attributable to global market expansion and overall increased brand recognition. Our results demonstrate the resiliency of our business model, the strong market appeal of our products and the focus of our management team, all despite uncertainties surrounding macroeconomic trade factors. Looking at how we started the year and are now looking ahead, we feel we are well positioned to continue delivering sustainable growth through creative alliances, global expansion, operational leverage and operational efficiencies. In 2019, we are laser-focused on developing and delivering new products, especially those in our self-branded products and others, which as Wang just mentioned, accounted for 41.3% of total revenues in Q1. We plan to continue delivering popular products in both our Amazfit line and with the products we develop with valued partners, such as Xiaomi and Timex. Finally, with the enhancements and expansion of our overseas sales distribution channels, sales force strategies and brand recognition, we anticipate international shipments to accelerate. Mindful of the length of this call, I'll highlight the key financial measures for the first quarter 2019, and encourage you to refer to our earnings press release for further details regarding our financial results. Now here are some of the highlights of our very strong first quarter. Revenues increased by 36.5% to RMB799.6 million from RMB585.9 million for the first quarter of 2018 due to an increase in the sales of both Amazfit products and Xiaomi wearable products, driven by the strong market appeal of our products and our global brand recognition. Our gross profit increased significantly by 48.3% to RMB217.5 million from RMB146.7 million for the first quarter of 2018. Our gross margin of 27.2% reflected a sizeable improvement from our gross margin of 25% in the first quarter of 2018. The increase, aside from economies of scale, was driven by two main drivers: First, we are positioning Amazfit-branded wearables to target a higher-income demographic compared with Xiaomi wearable products. So our Amazfit-branded wearables generally carry a higher average selling price. As our sales mix changes with the rapid sales growth of our Amazfit self-branded products, higher gross margins ensue. The second driver is continued improvement in supply chain management. Strong supply chain management has always been a hallmark of our operations, and we are continually working to find ways to make it even better. In 2018, we consolidated and streamlined our logistics and supply network activities by establishing a dedicated supply chain management office in Shenzhen. Here, our relevant teams are under one roof. The ease and speed of communication among teams has further improved our operational efficiency. Now moving on to expenses.  Total operating expenses increased by only 1.5% to RMB139.9 million from RMB137.8 million for the first quarter of 2018.  Research and development expenses decreased by 2% to RMB72.4 million from RMB73.8 million for the first quarter of 2018, primarily due to a decrease in share-based compensation expenses, which was offset by an increase in personnel related R&D expenses. It’s important to recognize here that these R&D expenses represent the investment in the development and the refinement of new technologies. We believe that this type of investment is critical and will deliver further benefit. For instance, we are developing algorithms to monitor both heart rate and the blood oxygen level, which will form the basis to growing functionalities and broadened application scenarios for many of our health tech wearable products. This level of technology development requires an appropriate level of infrastructure and resource commitment. Our general and administrative expenses decreased by 8.1% to RMB45.3 million from RMB49.3 million for the first quarter of 2018, primarily due to a decrease in stock-based compensation expenses, which was offset by an increase in personnel-related expenses. As our total revenues and sheer volume of products sold have continued to increase, our selling and marketing expenses have naturally also increased. Selling and marketing expenses increased by 50.5% to RMB22.2 million from RMB14.7 million for the first quarter of 2018, primarily due to an increase in personnel-related expenses and increase in advertising and promotional expenses, specifically for self-branded products. Our income before income tax grew significantly reaching RMB85.6 million compared with RMB16.5 million for the first quarter of 2018.  Of course, as a natural consequence, our income tax expenses also increased and were RMB10.7 million compared with RMB2.7 million for Q1 2018. This brings us to net income attributable to Huami Corporation, which totaled RMB75.3 million compared with RMB14.8 million for the first quarter of 2018.  Net income attributable to ordinary shareholders of Huami Corporation increased to RMB74.1 million. Further down the P&L, basic and diluted net income per ADS attributable to ordinary shareholders of Huami Corporation was RMB1.25 and RMB1.18, respectively. As a reminder, each ADS represents 4 Class A ordinary shares. Next, adjusted net income attributable to Huami Corporation, which excludes share-based compensation expenses, increased by 2.7% to RMB95.0 million from RMB92.5 million for Q1 '18. Finally, adjusted basic and diluted net income per ADS attributable to ordinary shareholders of Huami Corporation was RMB1.57 and RMB1.49, respectively. Relating to cash, as of March 31, 2019, the company had cash and cash equivalents of RMB1.57 billion compared with RMB1.44 billion as of the end of 2018. And now to our outlook, looking ahead to the second quarter 2019, management currently expects net revenues to be between RMB990 million and RMB1.01 billion, which would represent an increase of approximately 30.2% to 32.9% from RMB760.1 million for the second quarter of 2018. This concludes our prepared remarks. We will now open the call to questions. Operator, please go ahead.
 :
 :
Operator:   Thank you. [Operator Instructions] Our first question today comes from [indiscernible] with CIBC. Please go ahead.
Q - Unidentified Analyst: [Foreign Language] Thank you for taking my question. I have one quick question. Since you just mentioned Huami has announced to cooperate with Timex, which is a leading world-class watchmaker, I'm interesting what can this cooperation benefit our business for short term and long term. Could you please tell me more detail about this impressing corporation? Thank you.
A - Mike Yeung: Hi. This is Mike Yeung. I'm the COO of the company. Let me answer this question. So as our CEO, Wang, mentioned, he and I went - met with the, just recently, met with Timex this year, management in US. And it was a very, very positive and constructive meeting. So the benefit for Huami obviously is that we will roll out multiple models of Timex branded and potentially co-branded smartwatches. And the first of these models, we target to release later this year. And we will also have not only multiple models, but also potentially use multiple brands that's under Timex control, such as, for example, GUESS is also a watch brand that is owned by Timex. So we will roll out our multiple models, multiple brands. And we will sell not just in the US but also worldwide as well. And especially we can also leverage Timex sales and marketing channel online and off-line. For example, Timex has a huge off-line channel infrastructure in India. And for example, that's something that Huami can leverage by having those channels to potentially sell Amazfit brand, our self-branded products as well in addition to the Timex-branded products. And also this partnership will help us not only sell more devices but it will also generate a lot more data that we can potentially use for data and services monetization. Well, yes, so that's the - answers your question.
Q - Unidentified Analyst: Thank you very much.
Operator: Our next question today comes from Kyna Wong from Credit Suisse. Please go ahead.
 :
Q - Kyna Wong: Hello. Mr. Huang and David. Thanks for taking my questions and yeah, this is my first time to dial in and ask the questions. So actually I wanted to check by the implications from your recent trade dispute that is escalating and the impact to the company, like if the wearables have in the mix [ph] tariff list. And besides, I think investor also concerned about the - any risk in getting the band or the reliance in the US content in your products, et cetera. So this is my first question.
 :
A - David Cui: David. I'll answer your question. First of all, our sales to the US market only represents a very small portion of our total revenues. It's very insignificant at this moment. And we also check that even for this small amount of sales, we are not on the tariff target list. So far is a zero tariff on our products so far. And we do not source that much from the US also for our components, and we do not rely on any US technology that are embedded in our products. So basically in conclusion that we are not so for impacted that much by the current trade situation.
 :
Q - Kyna Wong:
 : Thank you. My next question is about the ASP trend. Along with the increase of the sales contributions from Amazfit, your own brand wearables partners, so we should assume that the brand average will come into raising trend or I should also take into account how much the Mi Bands will come into different seasonality this year. And another questions is about the ForEx [ph] impact, if they will also bring into your consideration in the ASP and also the gross margin in the coming quarters? Thanks.
 :
A - David Cui: So the ASP, right. The ASP for Amazfit products, as our CEO just mentioned, that we will launch multiple products later in this year. The retail price range from 200 to 2,000, and we believe the ASP trend should trend up. And because our current ASP is about only 400, so the ASP should trend up.
 : In terms of the gross margin on our own product, so, so far our strategy is to acquire more market share and grow faster in terms of total shipments and revenues. And that's our priority. And of course, we also maintain or try to improve our gross margin on our self-branded products. In terms of the gross margin on Mi Band, future generation Mi Band, and again, we will discuss this with Xiaomi. We will jointly determine our product marketing strategies and the retail price that could impact our gross margin. Typically again, in the year of launching new products and the margin may fluctuate. But in the long run, we will achieve a higher margin and that’s our goal, given that the product, the revenue mix will change towards more Amazfit products, which has much higher gross margin as compared to Mi Band. So in the long run, we should have very promising gross margin, yes.
 :
Q - Kyna Wong: Thank you.
 :
Operator: Our next question today comes from Arthur Lai with Citi. Please go ahead.
 :
Q - Arthur Lai:
 :
 :
A - David Cui: Okay. Thank you, Arthur, for your question. For your first question, I mentioned earlier that we source globally but we - the percentage of US components is relatively small, so the impact is not that material. And in terms of IP, in terms of technology, we do not rely on US technology. So that's the first question.
 : The second question is regarding the changes in the smartphone industry in term - the impact to Huawei. And I would say that at least for the smartwatch market segment, we still see significant growth potential based on the independent market research institutions' report, that the market still have 26% CAGR in the next 5 years. So we still expect that our product sales will at least grow - ride the wave of the market increase. And in terms of the overseas market, while Huawei we may be impacted, but we are not impacted. Our global sales strategy is not just covering the US market, which is one of our primary target markets. And we - but also our primary market includes Southeast Asia and European countries, it's a global strategy. So we will say we are not impacted, and we still anticipated significant growth in the year and the year to come globally.
 :
Q - Arthur Lai: Thank you, David.
 :
Operator: Our next question today comes from Ian Lau [ph] with Industrial Securities. Please go ahead.
 :
Q - Unidentified Analyst: Hi, Thanks for taking the question I heard about your new product launch, which you held yesterday. Just a quick question about your product launch plan the year. So what is the new product for the Q2 and Q3? And how expect the Mi Band 4's performance and shipment when compared with the Mi Band 3? Thanks.
 :
A - David Cui: So the Mi Band, as our CEO mentioned, that will launch very, very soon.
 :
A - Huang Wang: In 2 weeks.
 :
A - David Cui:
 : In 2 weeks. So I cannot discuss too much details about the features, but I can guarantee that there are some very attractive feature improvements, and we are confidence that this Mi Band 4 will be another successful product, and that's Mi Band. And for Amazfit products also starting this month, we will, in theories, we will launch multiple products all within this year, and the products will be primarily smartwatches covering different features, including the stand-alone ease in communication features and that was embedded with the Qualcomm platforms and also with health features and with the different price ranges, targeting different consumers' needs. And some of them are lightweighted. But basically we would - we are very confident that this product will bring our sales to the next level, primarily will be in the 2 half of this year.
 :
Q - Unidentified Analyst: Yeah. Thank you very much.
 :
Operator: Our next question today comes from Robert Cowell with 86Research. Please go ahead.
 :
Q - Robert Cowell: Hi, management. Thank you for taking my question. I actually have two. The first one I wanted to ask is about your international sales, and specifically if we could get a percentage of international sales. And then also just some color on what channels are driving the international sales? And then the second question is about your cash balance. So I think another good quarter of strong earnings, and you are continuing to build cash. The company also announced that it's selling new shares in April. So I'm just wondering what are the plans for this cash balance, are there large investments you all want to make or whatnot? Thank you.
 :
A - David Cui: Yes. So in terms of the international sales starting later, not last year, we intensified our international sales effort and primarily targeting 3 markets: Southeast Asia, Europe and US markets. So we were already seeing some results so far and we, historically, we rely on export distributors to conduct international business. Right now, we have some direct sales staff in these primary markets, and we're taking different sales strategies in different markets. For instance we already had very multilayered sales efforts in Europe and in Southeast Asia. We leverage more on the local famous e-commerce platform. In the US, we already have reviews with famous off-line sales channels such as Best Buy. So we are in the progress to build multi tier international sales channels. That's our number one question.
 : And number two question regarding our cash balance. Yes, the amount of cash we have so far, half of them are actually - were raised from our IPO, and the rest of the money are actually the cash generated from operations. And we do need that much cash to expand our sales channel. Also, we need that much cash to beef up our R&D team because we need to launch more and more products, not just this year, but also in 2020 and the year after. And also, we need to break through our health related technologies, including blood oxygen and better our algorithm in our current products also. And also in addition to that, we also look into potential merger acquisition opportunities. This was mentioned multiple times. We need to expand to upstream and downstream channels. So this is will - we also need some cash to accomplish the already expanded operations as a working capital.
 : So in terms of the new share, Robert, you mentioned the new share. Our recent offer in April was not really for the company to make money. We didn't really release. We only took about 10% of the proceeds. So the primary reason for this transaction is really to facilitate our institutional with the investors to accept one their mutual - their leasing [ph] funds may have a due date to exit from their IPO portfolio companies. So that's the primary reason.
 :
Q - Robert Cowell: Okay. Thank you very much, David.
 :
Operator: As there are no further questions, now I'd like to turn the call back over to Grace Zhang for any closing remarks.
 :
End of Q&A:  
Grace Zhang: Thank you once again for joining us today. If you have further questions, please feel free to contact Huami's Investor Relations department through the contact information provided on our website or The Piacente Group, the company's Investor Relations consultant.
 : This concludes this conference call. You may now disconnect. Thank you.